Operator: Good morning, ladies and gentlemen, and welcome to the Brinker International Fourth Quarter of 2013 Conference Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Mr. Chris Bremer, Vice President of Investor Relations and Global Development. Sir, the floor is yours.
Steven Chris Bremer: Thank you, Kate. Good morning, everyone, and welcome to Brinker International's Fourth Quarter Fiscal 2013 Earnings Call, which is also being broadcast live over the Internet. Before turning the call over, let me quickly remind you of our Safe Harbor regarding forward-looking statements. During our management comments and in our responses to your questions, certain items may be discussed, which are not based entirely on historical facts. Any such items should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Such risks and uncertainties include factors more completely described in this morning's press release and the company's filings with the SEC. On the call, we may refer to certain non-GAAP financial measures that management uses in its review of the business and believes will provide insight into the company's ongoing operation. Reconciliations are provided in the tables in the press release and on Brinker's website under the Financials section of the Investor tab. Consistent with prior practice, we will be silent on inter-period sales or other key operating results yet to be reported, as the data may not accurately reflect the final results of the quarter referenced. On our call today, you will hear from Wyman Roberts, Chief Executive Officer and President of Brinker International; and Guy Constant, Chief Financial Officer and President of Global Business Development. Following their remarks, we will take your questions. Now I will turn the call over to Wyman.
Wyman T. Roberts: Thank you, Chris, and good morning, everyone. Today, I'll cover details on our company results for the quarter and the year, as well as highlights from Chili's, Maggiano's and our franchise business. As you saw on our press release, we reported an adjusted fourth quarter earnings per share of $0.77, which represents a 26.2% increase over the same quarter last year and the 12th conservative quarter of earnings per share growth for Brinker. Additionally, we reported adjusted full year EPS of $2.34, marking a 19.4% year-over-year increase. Brinker delivered solid earnings growth for both the quarter and the year despite a challenging consumer environment, and we attribute that to culinary innovation that delivered outstanding new menu items, improved operating margins that led to a strength in business model and our commitment to our Plan to Win strategy that focuses on consistently improving the guest and team member experience. This quarter, we continued to see a fairly lethargic category, and some of the macroeconomic elements aren't quite as good as we hoped they'd be at this point in time. While we remain optimistic that the back half of the calendar year will contain improvements in key metrics like consumer confidence and employment, the restaurant industry isn't recovering as fast as we had hoped. Brinker, in particular, was impacted by increased pressure and deep discounting by our closest competitors during the fourth quarter. We chose not to match that aggressive discounting in our brands, but instead stayed focused on our Plan to Win strategy. While we once again delivered strong earnings growth, our sales were not where we'd like them to be. Company-owned comp sales were down slightly for the quarter, and we finished the year slightly positive, but softer than we anticipated for our guidance. Our confidence in Brinker's ability to grow top line, though, hasn't wavered. Moving into fiscal '14, we remain focused on building sales through initiatives that enhance the in-restaurant experience for both team member and guest and by strengthening our brand's relevance through menu innovation and improving our atmosphere. And so let's dive into Chili's results. At Chili's, company-owned comp sales came in at minus 0.6%. However, we closed the fiscal year with comp sales positive 0.5%. Traffic was a challenge, down 2.1% for the quarter and down 1.8% for the year. As I mentioned a moment ago, competitive pressures were stronger this quarter than we've seen in recent past. Other casual dining players increased their marketing spend to message deeply discounted offers. And in Chili's case, we carefully evaluated using similar tactics, but it's not the right move for us at this time. Deep discounting always remains a lever we can pull, but we continue to employ our strategy to balance the sales, profitability and innovation to deliver long-term value for the guests. Over the quarter, our sales mirrored the industry as measured by Knapp. However, it's important to note that throughout the quarter, we saw sequential improvement versus our peers, returning to outperforming the segment in June, and we're seeing that trend continue through July. In May, we rolled out 3 new flatbreads: a California Chicken, a Margherita and a Chipotle Chicken. Flatbreads delivered on our key business drivers. Through favorable cost of sales, they've set into our margin improvements, further strengthening our business model. A guest experience survey showed this product is delighting our guests, as satisfaction scores on checks containing flatbreads are significantly higher than the rest of our menu. And the culinary innovation afforded by our new kitchen equipment continues to make us more relevant in the face of a broader consumer base. In Q4, we initiated a widespread sampling of the product with the flatbread giveaway, which not only drove trial, but augmented one of our most powerful marketing tools, our email database. Due to a favorable cost of sales, we were able to initiate this widespread sampling and gained credibility in the pizza category without sacrificing margin. Currently, we're seeing the pizza and flatbread mix right where we had anticipated it at almost 10%. Until now, though, guests have been thinking of flatbreads primarily as an appetizer. Our opportunity with this category lies in successful exhibition of flatbreads not only as an appetizer, but also as an entrée. As we change guests' use of the product, we expect to see incremental traffic to go along with the great cost of sales numbers we've been seeing. Looking ahead for the brand, while the drivers of relevance to the consumer is continued menu innovation, we have a strong pipeline to draw upon, and we'll continue to develop new products for lunch and dinner, as well as strengthen our existing platform. In fact, we'll be on air with new news in the coming weeks with one of our most popular significant platforms, our Triple Dipper. And we're applying that same rigor to innovating our bar business. This summer, we rolled out drink innovation with the introduction of a new top-shelf Patron margarita and a whole new category of watermelon drinks that includes a margarita, a lemonade and a cooler. And the seasonal category is really resonating with our guests and performing even better than we had expected. On the Maggiano's side of the business, Q4 brought the 14th consecutive quarter of sales growth, and we posted comp sales of 0.2% for the quarter and up 0.5% for the year. In the past 2 years, through kitchen retraining and discipline, supply chain innovations and smart pricing, Maggiano's has dramatically improved their cost of sales, which has led to 150-basis-point margin improvement in the most recent fiscal year. Importantly, the Maggiano's team has done this while continuing to anchor their menu on Classic Pasta, one of the most compelling value tactics in casual dining, and driving those 14 consecutive quarters of sales growth. In fiscal '14, our challenge at Maggiano's will be to continue to attract new guests through our brand and leverage our improved cost structure by following the success of Classic Pasta with proven menu innovation and by expanding on our category leadership in direct marketing. But the big news for Maggiano's will be the Q2 opening of the brand's new smaller prototype in Annapolis, Maryland. We'll incorporate the beyond special occasion menu changes, like Classic Pasta, as well as reengineered P&L, plus a substantially lower investment model, and we'll combine these 3 improvements and apply them to our future new restaurant opening, ensuring our upscale casual business remains profitable as we return to building new restaurants. Moving to the franchise business. Chili's domestic franchise comp sales for the quarter came in at positive 0.5%, and for the year, they were up 1.6%. We're continuing to see growth and solid comp sales on the global side of our business as well. Our 282 global restaurants reported comp sales of positive 2.3% for the quarter and positive 2.7% for the year. In quarter 4, we opened 8 new restaurants outside the U.S., bringing the total to 33 new international locations opened this past fiscal year. Additionally, in quarter 4, we completed the acquisition of 11 restaurants from our largest Canadian franchisee. With these locations primarily in Alberta, but good consumer acceptance for the brand across the country, we're bullish on the growth potential for Chili's in Canada. So in closing, fiscal '13, we delivered double-digit earnings per share growth and continued to drive shareholder value even in today's competitive environment. For fiscal '14, there is no shortage of ideas for programs offering significant margin improvement, while still delivering a great guest experience that drive sales. For our 2 Brinker brands, we're exploring new technology in both the back- and front-of-the-house, all of our team member, guest and business model metrics point to our ability to successfully integrate new platforms without interrupting our positive brand and guest experience from here. At Chili's, we're aligning growth potential opportunities like delivery and our significant to-go business to offer guests speed, convenience and value. Both Chili's and Maggiano's will be opening new prototype restaurants. The Chili's brand has earned the right to grow again. And next fiscal year, we'll open 11 to 12 company-owned restaurants. Additionally, we'll be relocating 3 existing restaurants to more profitable trade areas. And the Maggiano's brand will build upon proven margin improvements, layering in sales-building programs and returning to profitable new restaurant growth, with 6 to 8 new locations scheduled to open over the next 2 fiscal years. So as we put a highly competitive quarter behind us, it's important to reiterate the significant progress Brinker has made against our long-term initiatives this year. As mentioned previously, earnings per share grew 19.4% year-over-year to $2.34, marking 3 consecutive years of double-digit earnings growth. And next year, we'll hit our previously stated goal of a 400-basis-point margin improvement, as well as a doubling of our 2010 earnings per share, a full year ahead of the schedule laid out. We still have our eyes on the prize, and we feel confident in our ability during fiscal '14 to continuously strengthen the business model and our brand's relevance without impacting and, in fact, even improving the experience for our team members and guests. And now, I'll turn it over to Guy to share specifics on our performance for the quarter and a look ahead to fiscal '14. Guy?
Guy J. Constant: All right, thanks, Wyman. As you just heard, our fourth quarter earnings per share before special items was $0.77, representing a 26.2% increase over the same quarter last year and continuing the year-over-year improvement we've seen in the past 3 quarters. And with the full year fiscal 2013 EPS of $2.34, we're 85% of the way to doubling our fiscal 2010 EPS to $2.75 to $2.80. Before we dive into the quarterly numbers, we wanted to mention our recent acquisition of 11 existing Chili's restaurants from our long-time Canadian franchise partner, Speedy Creek. This transaction closed on June 1, and the company-owned restaurant impact is integrated into the Brinker consolidated income statement as of period 12 of fiscal 2013 and will be reflected in our line item guidance for fiscal 2014. Now let's dig into the results for the quarter. Fourth quarter revenues were $730 million, an increase of 0.2% over prior year. Total company-owned comparable restaurant sales decreased 0.5%. Capacity was slightly positive, with less than 1% impact, and weather had no impact on the quarter. Franchise and other revenues were $20.9 million, an increase of $2.7 million over prior year. This included the lap of a onetime development fee refund we discussed last year. International franchise comparable restaurant sales increased 2.3%, and domestic franchise comparable restaurant sales increased 0.5%. Cost of sales decreased 100 basis points from prior year to 26.9%, driven by favorable mix changes associated with the introduction of new menu items, better waste control resulting from our new point-of-sale and back-office systems and lower commodity inflation. Restaurant labor decreased 40 basis points to 31.7%, driven primarily by productivity associated with our new kitchen equipment. With the rollout of kitchen equipment and point-of-sale back-office systems now complete with the end of fiscal '13, Wyman and I both want to recognize the outstanding performance of our operators, as they absorbed the significant change while delivering a great guest experience and delivering superb result. Our operators are truly an outstanding team. Restaurant expense was $5.5 million or 80 basis points higher than prior year, largely as a result of increased workers' compensation insurance expenses. Depreciation expense increased slightly to $32.7 million due to recent investment in the Chili's reimage, new kitchen equipment and new point-of-sale back-office systems. General and administrative expenses were $32.2 million, a decrease of $7.1 million, driven by a decreased performance-based compensation expense and lower professional fees. Interest expense was about $1.4 million higher than prior year as a result of a higher borrowing balance which occurred prior to the retirement of our existing 5.75% notes. The tax rate before special charges was flat to prior year at 28.3%, driven by the impact of higher earnings and lower tax credits, offset by prior year state tax adjustments and deductions related to increased stock option exercises. Capital expenditures for the year was $131.5 million, with year-to-date cash flow from operations at $290.7 million. We've completed 383 Chili's reimages to date, and by the end of fiscal 2014, we will have completed about 600 reimages or about 75% of our company-owned Chili's restaurant system. We now have fully completed the reimage in 16 markets, with an additional 6 markets in progress. During the quarter, we bought 3.5 million shares for $141.6 million, funded mostly through our note issuance, reemphasizing our intention to use available leverage on our balance sheet for share repurchase, all while maintaining our investment grade rating. This brought our fiscal 2013 total share repurchase to $333.4 million or 9.3 million shares, leaving an outstanding authorization of about $330 million. And we ended the year with approximately $59.4 million of available cash on our balance sheet. Through the first 5 weeks of fiscal 2014, we have purchased 1.3 million shares or $53.2 million funded by a drawdown on our revolver. With fiscal 2013 behind us, let's look ahead. We expect fiscal 2014 earnings per diluted share from continuing operations of $2.70 to $2.85, which will allow us to accomplish our goal of doubling our fiscal 2010 EPS a year early. This range represents a year-over-year increase in EPS of 15% to 22%, which is above the annual guidance issued at our Investor Conference in February. We expect EPS growth in the first half of fiscal 2014 to be above this range as we allot the implementation of key initiatives and EPS growth somewhat below this range in the back half of fiscal 2014. As we dig a little deeper into our revenues and expenses, here's our perspective on major categories and a view of the business in fiscal 2014. We expect company-owned comp sales increase to be between 1% and 2% and company-owned restaurant capacity growth of about 2%, for an overall Brinker revenue increase of 3% to 4%. The revenue increase assumes between 1% and 2% price and a franchise and other revenue increase of 1% to 2%. We expect cost of sales to continue to improve in fiscal 2014, driven by actual versus theoretical improvements from implementing our new point-of-sale back-office systems, significant and continued progress in waste control efforts at Maggiano's, the impact of higher gross margin menu items like pizzas and flatbreads, lower oil usage and an improving inflationary environment for commodity. And with 71% of our commodities contracted through the end of calendar 2013 and roughly 25% contracted through the end of the fiscal year, we anticipate about 1% to 2% inflation in our commodity basket for fiscal 2014. Coupled with leverage on higher revenues, we will also see continued labor and other operational efficiency gains associated with the implementation of our new kitchen equipment, especially as we lap the rollout in the first half of the fiscal year. These factors result in an overall anticipated improvement in restaurant operating margin of 50 to 75 basis points. We expect fiscal 2014 CapEx of $150 million to $160 million, about $20 million higher than previously guided at our Investor Conference due to rollout of new fryer technology in our kitchens in the first half of the fiscal year. By reducing oil costs, these new fryers will contribute to the cost of sales improvement previously mentioned. As a result, depreciation expense is expected to increase slightly on a dollar basis, consistent with our recent and ongoing investment in key initiatives. Our anticipated G&A spend in fiscal 2014 is slightly higher on a dollar basis than fiscal 2013 due to the fact that we plan our incentive compensation at target. Interest expense will be essentially flat on lower interest rates despite the higher average debt balance. Excluding the impact of special items, our income tax rate should be around 32%. Naturally, this rate will rise or fall with higher or lower earnings. And finally, free cash flow, defined as cash from operations less CapEx, is projected to be $180 million to $190 million. We continue to maintain a balanced approach to our use of cash through reinvestment in the business, debt amortization, best-in-class dividends and an appropriate cash reserve, with the remainder dedicated to share repurchase. The net effect projects a weighted average share count for full year fiscal 2014 between 66 million and 68 million shares, continuing to play a significant part in our projected EPS growth. So to wrap things up, we finished fiscal 2013 with a 26.2% fourth quarter growth in EPS and a 19.4% full year growth in EPS. These results demonstrate again our ability to deliver value to our shareholders. And so, as Wyman said, we enter fiscal 2014 focused on continuing to strengthen our business model and brand relevance, while enhancing the experience of our team members and our guests. With our new point-of-sale and new kitchens in all company-owned Chili's restaurants, our Chili's reimage nearly 50% complete and expansion of proven waste control efforts at Maggiano's well underway, we can now leverage these investments to drive future growth. And with the improved margins also comes a return to company-owned restaurant growth. In fiscal 2014, we will expand the Chili's reimage program to 75% of the company-owned system, increase our capacity by about 2% through company-owned restaurant growth, introduce new fryer technology to all of our company-owned Chili's restaurants and install the new point-of-sale and back-office systems throughout our Maggiano's system. And we'll also look to sustain our market share trend by continuing to optimize our core menu offerings; maintaining preference on our value platforms; expanding on menu innovation using the new kitchen equipment; leveraging our larger, more detailed email database; eyeing growth opportunities like delivery and to-go; and continuing our international expansion. All of these initiatives will help generate EPS in the range of $2.70 to $2.85 and springboard us toward our new company goal of doubling fiscal 2012 EPS to over $4 by fiscal 2017. With that, I'll turn the call over to Kate to open the line for questions.
Operator: [Operator Instructions] Our first question today is coming from Michael Kelter at Goldman Sachs.
Michael Kelter - Goldman Sachs Group Inc., Research Division: I guess, the big question from me is, what gives you confidence in 1% to 2% same-store sales for the year when KNAPP-TRACK's running minus 3 to 5 in July to start off the year? And I guess, it seems like you're presuming the recent deceleration is temporary, and if that's the case, why? And if industry trends do continue, I mean, I'm just kind of nervous you'll have to lower guidance as the year progresses.
Wyman T. Roberts: Hey, Michael, Wyman. It's a great question. And obviously, there's a couple of things that factor into us giving a guidance of 1% to 2%. First, things we can control, right? So we talked about innovation all the time, and we do believe that it is critical to continue to take share and to grow sales. We feel good about our innovation, not just on food and food platforms, it just tends to be where we focus, but really the innovation that we're bringing to the business across the board. Our reimage efforts, our new prototype, our -- and the new technology that we're using to innovate how we sell. We're very excited about some initiatives that we're going to roll out this year that bring us bigger sales opportunities to the front of the house using some new and exciting technology, as well as leveraging some technology to help us grow our to-go business and really start to think about a delivery line for us that -- a new business for us. So a lot of things that we control that we -- give us confidence that we can see positive sales. Now we also think that we're going to have to continue to grab share. And so we do look at the category and the industry, and the macro trends aren't that strong right now. And as I mentioned in my points -- talking points, we do anticipate them getting better. If the industry continues to run as soft as they ran in July based on Knapp, you're right, it would be difficult. I mean, even though we anticipate taking share, it would be difficult if the industry were to continue to run down at this level. We don't anticipate that to be the case. We think this isn't going to be the run rate for the rest of the year. So our focus is on continuing to take share through that innovation and to see the industry and the economy get a little bit stronger than it's running right now.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And can you talk about the fact that your company-owned same-store sales underperform the franchise same-store sales by a point? And I guess, I'm particularly surprised because the company-owned side had a benefit of the remodels in there, and so are the remodels not helping you as much as you thought they might?
Guy J. Constant: No, quite the opposite. The remodels are doing really as we had projected in what they need to do to deliver the return. There are some regional stories in our franchise business that are helping. But that 1%, plus or minus, on the franchise business versus the company-owned, it's pretty typical. I mean, last year, a year or so ago, we were a little bit stronger, and you get some regional variations and competitive pressures in the markets and because most of our franchise is regionally done. That's probably more of the story. The good news is our franchisees are running great restaurants. We're very closely aligned. And you'll see over time that when you average it out over a multi-year span, we're basically running fairly comparable. And our metrics, we measure the same things in their restaurants as our restaurants, like guest satisfaction and team member satisfaction, and we perform at very comparable levels.
Operator: Our next question today is coming from John Glass of Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: Firstly, Wyman, can you maybe just comment on how much you think the flatbread promotion actually helped comps during the quarter? And did that -- was redemption into July or was that contained in the month of June?
Wyman T. Roberts: Thanks, John. Yes, flatbreads, in terms of helping comps in May and June and then into July, I mean, you can see the sequential improvement in our performance relative to category. So we think it did help us. It didn't help us as much as we would have liked, and it's primarily for 2 reasons. We knew flatbreads were going to be a little bit of a push and a stretch for Chili's. It's not a product offering that is closely associated with the brand, but it is a product offering that is very much in line with our strategy of becoming more and more relevant. And so there is a little bit of an investment there in terms of, say, let's get a new product category out there that we can do a lot of preference on that starts to reposition, if you will, a little bit, or actually, just improve the relevancy, if you will, across a broader consumer base. And so we've done that. That's what flatbreads did for us. And it, also, the margin story is probably what it did more for us than the top line sales story. We think there is still top line potential as more and more guests eat it, come back and realize the credibility that we now have in this category.
John S. Glass - Morgan Stanley, Research Division: Okay, great. And just, Guy, you mentioned the fryers, and that was something you maybe alluded to earlier, but you didn't really quantify the benefit. Is there -- how do you scale that in the other sort of initiatives you played out over the past several quarters in terms of benefits to margins?
Guy J. Constant: John, our fryers, we expect to -- so on the capital side, we expect to spend close to about $20 million to replace the fryers. That will be in all of our company-owned restaurant system, and we think that will be done by the end of the calendar year. Based on tests, we think we'll see returns in the form of oil savings that will show up on our cost of sales line, but it will be similar to the kind of returns we saw with the previous implementation of kitchen equipment at the Chili's restaurant. So meaningful returns above our hurdle in order to hit that number, but we feel very good about that, in addition to the fact that we should see some marginal or incremental utility savings. And the other aspect is we've seen improved food quality scores, in fact, as well. So it really hits on all aspects again, as have most of these investments in there.
Operator: Our next question today is coming from Alvin Concepcion at Citi.
Alvin C. Concepcion - Citigroup Inc, Research Division: Just another follow-up on the guidance for fiscal '14 of 1% to 2% same-store sales growth, that's below your long-term target of 2% to 3% domestically. And I know it can be volatile from year-to-year and there's weakness currently, but relative to your long-term target, is it mostly lower because of a more tempered industry growth outlook, or is it that the market share gains won't be as strong as you anticipated?
Wyman T. Roberts: No, Alvin, absolutely more just the current reality of where the industry is running. And so in the face of that, the good news [indiscernible] continue to see a softer environment where we're able to, with the good work of a lot of strong operators, continue to deliver at or above the target in terms of earnings. And so that's what we're excited about is that we eventually will see a stronger macro environment and then that [indiscernible] still anticipate seeing some stronger sales potential.
Alvin C. Concepcion - Citigroup Inc, Research Division: Great. And then you mentioned gaining market share in June and July, but you didn't match the competitive promotion. So to what extent was that driven by the product innovation towards using more creative advertising?
Wyman T. Roberts: Yes, we think that that's what it is. It's a slower build on the pizza. We also think it's a foundational strength. Again, I think what we see when we lose some of our strength with regard to capturing market share, which we've been a consistent market share gainer over the last 2 years, it's usually a promotional blip. Somebody comes in or several key competitors come in, do something pretty dramatic, but not sustainable, whether it's in media buy strategy, we saw a lot of aggressive media purchased in the fourth quarter and -- or with the messaging that's really not sustainable from a margin perspective. And we like our strategy of more sustained long-term growth.
Alvin C. Concepcion - Citigroup Inc, Research Division: Okay. And just one last one, sorry if I missed this, but were you able to quantify how much of a benefit [indiscernible] flatbreads had to margins in the quarter?
Guy J. Constant: We haven't quantified that, Alvin. But there's no question, it had a positive impact on cost of sales in the fourth quarter, and even saw it a little bit at the end of the third quarter when we had only, at that point, rolled out pizzas. So we do think that the types of cost of sales gains we've been seeing recently, a big part of that is supported by the rollout of these types of menu items, and some future innovation down the road, too, that will also be better on the gross margin line.
Operator: Our next question today is coming from Joe Buckley at Bank of America Merrill Lynch.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Just a couple of bookkeeping questions first. Guy, what was the guidance for the franchise in other revenue line?
Guy J. Constant: Up 1% to 2%.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And why so modest? Is there less international expansion going to occur or is it something else?
Guy J. Constant: The international expansion, we think, Joe, is going to be 30-plus net restaurants next year. So we feel really good about the international expansion. You did see some closure activity on the franchise side in fiscal '13, so you get a little bit of carryover on that line coming into fiscal '14 as well. So that's what's muting a little bit of what would be otherwise underlying better franchise and other revenue growth.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And then one more just kind of fast. I think one of the questions is on the flatbread coupons. They were completely contained in June, were they not, in terms of redemption dates?
Guy J. Constant: Basically, Joe, there was a little bit that carried over into July, but it was small versus what you saw in June.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And then last and a little bit bigger picture, you mentioned the promotional competitive activity picking up. What form is that taking? Where are you seeing that showing up most aggressively? Is it in televised price points or digital media or couponing? What kind of form is that emerging in?
Wyman T. Roberts: Yes, Joe, yes, all of the above. You've seen -- and a combination, right? So now you're seeing people on TV saying go to the website and get the coupon for 50% off your second entrée. You're starting to see people chasing people or directing people to other forms of media direct, obviously, in digital to deal. So it was a fairly aggressive quarter. And again, people have been clear about some of their strategies. There have also been some new introductions, so people introduced some lunch lines, some other things that they spent aggressively to introduce, which makes sense. Just your reaction to those is what we're always kind of evaluating: do we want to respond, do we want to -- how do we want to respond.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And maybe one last one, if I could. You mentioned new technology with respect to the front of the house and maybe the to-go business, can you elaborate a little bit on that?
Wyman T. Roberts: I could, but I probably want to save some of that for a little bit later and not just share too much with the competitive world out there as well. But we -- there are things out there that we think can help enhance the guest experience in the front of the house using new technology that we're rapidly moving towards. So we'll have more information shortly, but I don't want to share too much on this call.
Operator: Our next question today is coming from Jeffrey Bernstein at Barclays.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: A couple of questions as well. First is we've talked a lot about the industry and the more recent aggressive value push. You mentioned market share in a couple of occasions. Just wondering maybe you can walk us through one, how you measure it, but I think you had mentioned versus 2 years ago, just wondering where it was 2 years ago, what's the percentage today and kind of how do you measure that. And then I have a follow-up.
Wyman T. Roberts: Yes, Jeff, a couple of ways we look at it. For the more immediate data sources, you've got Black Box and Knapp. You're just looking primarily at our changes versus changes in comp business for the most part versus others. But then we also look at the NPD data over longer term. It's not nearly as timely. But for big market share moves on more of an annual basis, we use that database because it can incorporates a much broader kind of view of the industry.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: What do you estimate the actual market share of Chili's is in the U.S....
Wyman T. Roberts: We're at 10%...
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: What is it?
Wyman T. Roberts: 10% bar and grill.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Got it. And that's up from -- what do you think it was at what time frame or...
Wyman T. Roberts: Well, it's relatively -- on that big scale, it's relatively similar. So we haven't -- but probably up 1 point or 2 points, 10.1 or 10.2 kind of thing. It hasn't gained a full share yet. We're not up 10%, so we haven't moved the full point yet.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Got it. And on the discounting front, I know you mentioned you think long and hard about it during the quarter. Just wondering what would push you to be more aggressive with value. Obviously, some of your peers are doing a little bit of everything. If the trends continue the way they are now in July, is that something that you'd start to consider? And when you do, if you were to push that value lever, is it primarily for the 2 for $20, or what other options might you or have you had success with in the past?
Wyman T. Roberts: Yes. I mean, we obviously want to use our platforms. We really want to stay away from jumping into a limited time offer. And as we talked about in the past, the implications of limited time offers to the operations team, all of the energy that goes into something that lives in a restaurant for 6 or 8 weeks and then goes away and then you have to restart, they're just a lot of cost, as well as a lot of energy goes away from providing a consistent guest experience. So we will leverage our platforms whenever possible. But there's tactics we can employ, like everybody can, whether they're direct or through televised media messaging. But right now, it's just -- it doesn't appear to be driving long-term success for those folks. Now some people are getting some sales out of it, but as we look at how they report earnings to you and other folks, we just don't see the profitability. And so, again, we're not looking for hollow sales. And given that our model isn't an all-franchise model, we run restaurants, so we're very much interested in the bottom line of our restaurants, as well as our franchisees' bottom line. And we partner with them to make sure that everyone is on board with, hey, this is a good marketing decision, and it's not just going to drive sales, it's going to make sure that our P&L and our cash flows are staying strong.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Got it. And then just the last question in terms of the new product news. It sounds like traffic trends maybe started more disappointing on the flatbread and the pizza. Just how it sets, it sounds like trends have improved with the giveaway. And if that is the case, is that next platform still -- I think you had said, first calendar quarter each year. So would that be the first calendar quarter of '14? Would I believe the Mexican is the next platform or might that change?
Wyman T. Roberts: Yes. So first on your first point, our relative position to Knapp has definitely improved, and that's what we've been talking about, as they are relative to the market. And to our measurements against the category, we're back gaining share and outperforming the category. With regard to the future marketing promotions, I'm not going to give you too much detail there because, again, it's a very competitive environment and we got a lot of things going in the innovation pipeline. And we just prefer to kind of let those kind of take place in the marketplace a little bit before we have those conversations here.
Operator: Our next question today is coming from Jeff Omohundro at Davenport & Company.
Jeffrey F. Omohundro - Davenport & Company, LLC, Research Division: Just -- first, just going back to this front of house technology question. What's your thinking about timing for implementing some changes there? And is this something really new or something we may have seen at some of your larger franchisees?
Guy J. Constant: Jeff, yes, the timing is very quick and the technology is probably stuff you may have seen out in some of our franchisees and others. I think our execution, what we're very excited about is how we're going to use new technology and differentiate it. I mean, right now, everything that's been out there that we've been looking at and, again, we've been testing things for over a year, has really been kind of off the shelves. But as we commit to the investment and the technology and the partnership, we really think there's a lot more upside to it. And we draw a lot of our resources and innovation and kind of marketing skills into the mix at a much higher level. So that's kind of the story. So -- but we are moving as quickly as we can, frankly.
Jeffrey F. Omohundro - Davenport & Company, LLC, Research Division: Great. And then on a separate question, looking at the pizza and flatbreads, I just wonder if you can update us a little bit on consumer response across dayparts. Is that achieving how you thought it would play out?
Wyman T. Roberts: Yes. The actual mix and preference as we call it across the daypart is good. And I think this whole idea that flatbreads can be more than an appetizer, that it could actually be your entrée, couple it with a salad, you've got a really nice meal, affordable and fresh, is what we're working towards -- just kind of helping our guests better understand and letting other people that know that better, kind of understand that that's an option at Chili's. It seems to be working really well for us at lunch or better for us at lunch. And now, we're just educating the dinner guests about that. And so the beauty of flatbread, again, is that there's a great margin story. And so as we're building the category, we've got great margins, but more importantly, the guests that eat it are really excited about it, pleasantly surprised. And our food scores are better on flatbreads than they are on the rest of the menu. So we've got a category that's got the potential to really delight and move more people into it. And that's what we're excited about.
Operator: Our next question today is coming from Chris O'Cull at KeyBanc.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Wyman, I know you're reluctant to talk about the Tex-Mex items in detail, but can you tell us whether the operational issues have been overcome?
Wyman T. Roberts: With Tex-Mex?
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Yes.
Wyman T. Roberts: We're still working on some. We've got -- we do have options on platforms like Tex-Mex and other platforms we shared with you. And some of you that have been here have actually eaten some of the products. So we have ways of bringing a significant credible platform like in Tex-Mex to the market today. But we're still working through a couple of opportunities to bring you what we'd consider an even broader, maybe stronger platform to the market. We're confident that we will resolve and get this new kitchen to work as hard for us as we know it can and do things that we could never have done before without it. But we're actually having to just reconfigure some things and then work through that process. It's a fairly complicated process, kind of rethinking the production line. But we're in that process of moving things around to give us better opportunity, even put a more competitive or a more exciting Mexican line out there. So I guess the answer to your question is, yes, but we think there's more room to go, and we're still working on some of those issues.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: I would think that those type of offers would be more aligned with the brand and the way people think about the brand, or even it could potentially be a pretty unique value platform for the company. Is that a fair point?
Wyman T. Roberts: Oh yes, absolutely. Our research -- we do research as everyone does on this stuff. And obviously, with Chili's, a Mexican-centric offering is going to play a lot closer to the current attributes of the brand versus, let's say, a pizza flatbread offering. But we think both of them have a home for us. And do the pizza flatbreads are going to be a little bit of a longer build, but gives us that relevancy and a new kind of target audience that we have massively been talking to as much. And Mexican is pretty much right in our wheelhouse. We just want to make sure when we bring that new message forward -- because we offer obviously a lot of great Mexican food now or Southwest or Mexican-centric. But when we come out with a new message about it, that it's exciting, that it really does deliver on all the things that we've kind of built for again...
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Okay, great. And then...
Wyman T. Roberts: In the margin and guest satisfaction, as well as operational ability to execute.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: And then one question on the pizza, what are the plans for the traditional pizza product, given your wanting to push the flatbreads more as an entrée?
Wyman T. Roberts: Yes. I think pizzas -- well, actually, guests are more excited about flatbread products. Pizza is doing fine, but I think we like the flatbread product as well. Just feels like it's more in line with what works for us and kind of where the consumer is going a little bit more at least with our concept. And so we've got, again, this great platform now. It's got enough preference that we can do and bring new innovation to it, whether we bring it to the pizza line and in the flatbread line. It's in the mix now and allows us to leverage a significant piece of our guest preference, bring new news, and I think we can go either way. But I would say that flatbreads are working harder for us.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: And then, Guy, my last question. Would you tell us what tradeoff the company would make if the comp trend doesn't improve soon to that 1% to 2% range? I mean, would the company be more inclined to cut growth CapEx, reduce its share repurchases or go above its previously targeted 3 turns of adjusted leverage?
Guy J. Constant: So great question, Chris. So in the context of and I think what you've seen in the last 3 years, we promised a number. In fiscal 2010, we promised a number and every year, at this call, as we're doing this year, we're promising a number for next year. And we are extremely motivated to deliver on that promise. And as you can see, even this year where we originally guided to 2% to 3% sales, but only finished at 0.5% increase in sales. We still delivered the number. And so we take those promises really seriously when we make them here. And so it is our plan to deliver on that. Now in relation to your question as to where we would reduce, I think we've always said that there's 4 uses for our capital first, and then all remaining cash goes to share repurchase. And so as we look at investments that we're going to make in the business, as we did in this year with what we're talking about with fryers, we have a CapEx -- we have CapEx guidance. We believe it will come down in future years. But if there are opportunities like investing in something like fryers, it gives us the kind of return that we need, we're going to make those investments. It really ladders down exactly in that way. So yes, we have to do debt amortization. We certainly made a commitment to the dividend. But if there are opportunities to make longer-term investments or investments in the brand that can deliver good returns, we would tap down share repurchase in order to do that. But when we have capital that isn't allocated and where we can't get the returns, we're definitely very happy to put that towards share repurchase because there's a return on that too. But if we can get higher returns on our capital spend, we'll put our money there as we did this year with fryers.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: So you'd be more inclined to reduce share repurchases and to go well above the 3 turns of adjusted leverage you targeted?
Wyman T. Roberts: We, right now, have no plans to go above the 3 turns of adjusted leverage.
Operator: Our next question today is coming from Steve Anderson at Miller Tabak.
Stephen Anderson - Miller Tabak + Co., LLC, Research Division: I know you were talking about some of your alcohol sales. How has that been trending in terms of your total mix? And do you see any reason, with the recent pullback in overall consumer spending, has that gone down as well?
Wyman T. Roberts: Yes. We've seen positive results in our alcohol mix, especially in the first half of the year, leveled off a little bit more recently. But we had over -- especially over the last 18 months as we've kind of implemented a whole new strategy, recalibrating and reevaluating our beer offerings, kind of getting ourselves more aligned with the craft, movement that's out there, focusing on this margarita-centric business that is so much Chili's. Maggiano's is having some really good success now with their 9-ounce pour on their wine and some of the new wine initiatives that they brought in. So across both brands, overall, good movement. I'd say at Chili's, it's leveled off a little bit here more recently as we've got to some new highs, but we're excited about some of the new things that we're bringing to the table in the future. And Maggiano's is continuing to see some really nice progress in growing their percent of alcohol with some of the innovation they brought to the table.
Operator: Our next question today is coming from Bryan Elliott of Raymond James.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: You [ph] didn't talk about the labor market, so the government tells us every month that restaurants are hoovering up employees, biggest job creator out there in the broad economy. Is your headcount up at all than, say, from 6 months or 1 year ago, at the store level?
Guy J. Constant: No. In fact, Bryan, it's probably down a little bit because when we implemented the kitchens in our restaurant...
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Well, that's true. Yes, you're not representative because of that -- related question is, are you seeing any increased turnover hourly or management store level folks, other indicators potentially of a meaningfully tightened -- a meaningful tightening of the restaurant labor market?
Wyman T. Roberts: No. I mean, we really have -- actually, our metrics are going the opposite way. So our turnovers are down. We think that it's directly related to our focus on the experience of our team members and really making sure they're making as much money in as good an environment as possible. And so we've talked to you more in detail about this probably in the past. We haven't talk about it a lot recently. But we continue to monitor and challenge ourselves, put as much money in our team members' pockets as possible, and I think they get that. They understand the value of the job at Chili's and Maggiano's. And so our turnover numbers are well below the industry on the hourly side, and from a management perspective, they're kind of at or slightly below industry standard.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: And clearly looking at your numbers, there's not much wage inflation that you're seeing.
Guy J. Constant: No, we're not seeing that, Bryan. I mean, as we know, there are some states here and there that have their formal [ph] annual wage inflation cycle or increases in minimum wage. But no, to date, broadly speaking, not much wage inflation.
Operator: Our next question today is coming from John Ivankoe at JPMorgan.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: I mean, a follow-up on a lot of the sales commentary that you're making. I think it's pretty loud and clear that you expect to outperform the industry, at least you want to outperform the industry for 2014. I want to ask the question specifically as it relates to the first quarter, I mean, since we have everyone together here. What level of industry sales are you assuming for the first quarter? And of course, I ask this in the context of you kind of -- you giving us some sense of what the earnings are going to be. I mean, what that sales forecast is, more or less, to generate those earnings. So just -- that's such an important line just to make sure that we're all on the same page here.
Guy J. Constant: So, John, yes, we do assume that, as Wyman said, that what's going on right now in the industry will not continue for a long period of time. But I do think what's happening right now is this, so the macro numbers are -- we're starting to see some positive signs on macro numbers, which I think is a good thing. And we all know, sitting on this call, how long we've been waiting to start to see at least some positive indication on the macro. While we're not jumping for joy and thinking that things are great now, there are certainly some signs that it could get better. Interestingly, what's happening, though, is I think it's also spurred the consumer to jump in and get involved in the housing market and maybe now start to make some higher ticket purchases that they might have deferred before, like you see with the growth in automobile sales. So I do think, right now, that's resulting in some crowding out of discretionary spending for the consumer that's causing the industry to be down in July. But broadly speaking, this is the start of what we hope is a turnaround in macro numbers that we've been waiting for, for a long time. So we do view the depths of what's going on here in July in the industry as being somewhat temporary. I think it's hard to predict what we think will happen going forward, but I think it's fair to say that for this first quarter here, we're going to see some fairly, fairly tepid macro trends in the industry in terms of discretionary spending. But our anticipation is that in the second quarter, we'll start to lift out of that.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: Okay. And not to completely put words in your mouth, but I mean, is it a fair assumption that 1Q is the low quarter of the year and maybe even is below what your annual guidance is? Is that how we should be thinking about it?
Guy J. Constant: Well, I think it's hard to know, John, but I would anticipate, at least from what we've seen now, that 1Q will be the low point of the year.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: Okay. All right, fair enough. And then secondly, regarding the Canadian acquisition, how much does that affect company store margins? I would guess it would be dilutive to company store margins, but I might be wrong. But how much does that affect your year-over-year company store margin growth positively or negatively in '14 versus '13?
Guy J. Constant: On different lines, it might be a little different, John. So labor costs are a little bit higher in the Canadian market, so -- but cost of sales is better, and our ability to leverage some other lines is a little bit better. So net-net, overall margins are pretty similar for the Canadian business, maybe a shade lower, but we do think there's a lot of opportunity in that business to implement some of the changes we made here in the domestic market to even drive that forward. So we feel pretty good about what that business can do in the long term.
Operator: Our next question today is coming from Mitch Speiser at Buckingham Research.
Mitchell J. Speiser - The Buckingham Research Group Incorporated: I just want to clarify, you did say within the fiscal '14 guidance that you expect the first half EPS growth to be above the second half, correct?
Guy J. Constant: That's correct.
Mitchell J. Speiser - The Buckingham Research Group Incorporated: Okay. And can you just maybe help us out with that? It sounds like comps are probably below your guidance. Is there something in the G&A line or anywhere else that provides that pretty significant offset as we build out this calendarization?
Guy J. Constant: I think, Mitch, what you're seeing is it's more around the cost side and that we've had really strong cost of sales performance here in the back half of the year. And certainly, with almost 3/4 of our commodity basket contracted in the first half of the year, we feel we have pretty good visibility, that we can continue to generate some good numbers on the cost of sales line. And then, of course, as you will recall, we, at this time last year, were still implementing a lot of our new kitchen rollout. In fact, we were accelerating a lot of it as we got to the end of the first quarter and into the second quarter. So we're still benefiting year-over-year from that rollout. By the time we get to the back half of the year, we're lapping some of that rollout. So you're seeing more of the incremental growth we've seen since the implementation, then necessarily the initial pop labor benefit we got as we first implemented.
Mitchell J. Speiser - The Buckingham Research Group Incorporated: Okay. And another question I had is just in terms of the definition of deep discounting. I think everyone defines it a little differently. When you did the free giveaway for the flatbreads, do you not consider that deep discounting? Can you just give us a sense, because you said you don't -- you're not doing the discounting that others are doing. How do you characterize a free giveaway like that?
Wyman T. Roberts: Yes, that's a fair question. I think the way we looked at it was kind of a sampling thing and so it did have an impact. It wasn't -- it was a very short-lived -- I mean, a couple of weeks kind of thing. It was really meant to get the sampling of the product out there, and it wasn't an extended promotion, it wasn't a major media buy and it wasn't the implementation of, let's say, a couponing strategy that we're now seeing. And we have seen other businesses get involved, and it becomes pretty much part of their day-to-day pricing strategy almost, where you can go onto the website and find a coupon at any point in time for significant dollars off the main entrée. So that's how we looked at the flatbread giveaway, it was really more of a sampling. And so that is a marketing tactic, but it didn't fall into what we would -- what we're seeing more broadly, which are those kind of things I just mentioned.
Mitchell J. Speiser - The Buckingham Research Group Incorporated: Great. If I could slip in one last question, it sounds like a new product platform, potentially the Tex-Mex now. Chili's is already very much Tex-Mex against -- again, definitionally, what maybe products within the Tex-Mex category do you not offer now, or is it more of a new and improved line of some of the Mexican products that you already offer?
Wyman T. Roberts: Yes, there are new products that we don't offer that we are developing, so there's product innovation that works along those lines, as well as those you mentioned. So it's both. We've got opportunities to innovate around some of the current product offering that would qualify for that category, that platform, so we're working both ends.
Operator: Our final question today is coming from Peter Saleh at Telsey Advisory Group.
Peter Saleh - Telsey Advisory Group LLC: I just wanted to ask on the advertising strategy in the first half of the year. Can you just talk about that? You going to be spending more, less? How does that compare to last year?
Wyman T. Roberts: Peter, it's pretty comparable in the first quarter and in the first half. We are evaluating other alternative media strategies, so I can't tell you that this may or may not change. We're in the middle of upfront negotiations with networks, we're also looking very closely at our digital strategy, we've got our customer relationship marketing program kind of moving more aggressively forward. So we're evaluating the mix, so with our partners, our agencies. We are still finalizing exactly how the plan will play out for the year. But I think for the first quarter, you can -- you'll see a fairly comparable play to last year.
Peter Saleh - Telsey Advisory Group LLC: And then just given all the discounting you're seeing across the sector, have your value scores changed at all?
Wyman T. Roberts: They haven't. I mean, they've been improving over the last 3 years. Our value scores have significantly improved within the brand as we measure them both internally and externally. And we continue to have a very strong value proposition out there, and we think that's a key to continuing to take share and grow the brand. So -- but we haven't seen anything significant across the category or with any competitors yet, but they'd be a lot closer to that than we are.
Peter Saleh - Telsey Advisory Group LLC: And then, Guy, I just wanted to ask on remodels, the lift that you guys are seeing on the remodels, is that continuing about 3% or a little bit higher than that?
Guy J. Constant: It's continuing better than the 3% that we anticipated. And we're through a pretty good chunk of the markets now or at least started in some other markets, so we're down to only a couple of territories. Still fairly large territories, but a couple of territories less that will be addressed here in the next 1.5 years as we finish the rollout of the program.
Operator: We have no further questions in the queue.
Steven Chris Bremer: All right. Thanks, everybody, for being on the call. We appreciate it, and we look forward to talking to you in October.
Wyman T. Roberts: Thanks, guys.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.